Operator: Good morning ladies and gentlemen welcome to Itaú Unibanco Holding’s Conference Call to discuss 2020 Second Quarter results.  At this time all participants are in a listen-only mode. Latter we will conduct a question-and-answer session [Operator Instructions] As a reminder this conference is being recorded and broadcasted live on the Investor Relations website at www.itau.com.br/investor-relations. A slide presentation is also available on this site. Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comments as a result of macroeconomic conditions, market risks and other factors. With us today on this conference call in Sao Paulo are Mr. Candido Bracher, President and CEO; Mr. Milton Maluhy Filho, Executive Vice President, CFO and CRO; Mr. Alexsandro Broedel, Executive Director, Group Head of Finance and Investor Relations; and Renato Lulia Jacob, Head of Investor Relations and Market Intelligence. First, Mr. Candido Bracher will comment on 2020 first quarter results. Afterwards, management will be available for a question-and-answer session.  It is now my pleasure to turn the call over to Mr. Candido Bracher.
Candido Bracher: Thank you for taking time to attend to our 2020 second quarter earnings call. Hope you are all well and safe.  Now let us now please move to Slide 2. I'd like to start by briefly discussing the macroeconomic backdrop which influenced our performance and the management strategy during this trying period. So we this trying period. So we have just been through what can arguably be considered the worst quarter in Brazilian history from a macroeconomic point of view. This becomes evident in our expectation of a GDP contraction of just over 10% as well as in the extinction of around 1.3 million formal jobs in this period. To face the scenario, government reacted and cut interest rates interest rates to new historical to new historical lows, 3.35%. Additionally, to this date, it has injected approximately BRL 370 billion into the economy, roughly 5% of GDP. This very complex dynamic can be seen in the chart at the bottom of the slide, where we brought the daily variation of the Itau Economic Activity Index. This index was built upon the high-frequency data that we get from our credit transactions and enabled us to monitor the economy monitor the economy reactions close and granularly. The economic activity bottomed out at the end of March with a 45% contraction when compared to pre-pandemic levels. However, we have already seen encouraging signs of a recovery over the following months. And last week's data show that we are already at 90% of pre-COVID-19 activity levels. Moving to the next slide now. So we were pretty evenly identifying this crisis that it would be different from any other challenge we have faced in our 96-year history, not just in its nature, but in scale. We soon realized that credit soon realized that credit would be the major risk factor for the financial sector, and that was exactly where we intensely focused our attention. Therefore, we acted fast and decided the right course of action must to be extra careful and go the extra mile to support our customers.  We believe that in the medium term our initiatives will contribute to reduce potential credit losses and reinforce the perception of customers that we were present when they most needed us. We are convinced that this will more than compensate for any short-term loss of profitability.  So here, we show that since the beginning of the crisis we have originated over 96 [indiscernible] also worked side by side with the government and actively participated in the programs they launched to support most at-risk segments. We were the first private bank to commit participating in the program in the program to finance small retailers, and we disbursed all the facilities allocated to us in just a few hours and 100% digital. In addition, we extended BRL 1.6 billion in the emergency payroll financing program for micro and small companies, and we underwrote BRL 2.9 billion to support energy generators, distributors and retailers. 
[indiscernible]: So on Slide 4 now. We go into more details about the BRL 52 billion loan portfolio deposit profile with new repayment conditions, out of which 72% were individuals, 28% were micro and small micro and small companies. Firstly, it's important to highlight that 100% of those clients were performing, meaning no past dues by the dues by the end of February. 58% of this portfolio was portfolio was already collateralized from their inception. Additionally, 90% of the portfolio is currently rated as AA to C. Finally, we show that the number of grace period requests has decreased has decreased significantly over the past 45 days. You see on the bottom chart. So now on Slide 5, before we move into our earning – I'd like to address two additional subjects. Here, on Slide 5 described how did [indiscernible]. We have already allocated more than BRL 1 billion, and this resource was spread out in four different pillars of action to help fight the COVID-19 pandemic. Important to emphasize that this is a nationwide program. And as an example, I would like to highlight not only the donation of 105,000 oximeters, which were distributed to all the municipalities in Brazil, over 5,000, but also the donation of BRL 100 to produce two of the most advanced vaccines in partnership with [indiscernible]. Now on Slide 6. Now the future, we present the integration of ESG teams into the bank's business and operations. Itau Unibanco has a long ESG story that began more than two decades ago. At the top of this slide, we present a time line showing the main milestones of this evolution, such as our participation in the Sustainability Index portfolios and adherence portfolios and adherence and commitments to good sustainability practice.  Two weeks ago, portfolios and adherence we set a new milestone, when in partnership with Santander we launched a joint plan to promote sustainable development in the Amazon. This plan consists of 10 concrete measures divided into three priority fronts, which are shown here. These actions were personally presented to the Vice President of the country and to all the government representatives. And our next step will be to define a clear and tangible p goals and goals and objectives for this goal. Being one of the largest financial institutions in Brazil, we intend to actively contribute to the country's sustainable development and protect the Amazon region. Additionally, it is important to highlight two important initiatives. The first one is our goal to become 100% compliant with the Task Force on Climate-related Financial Disclosures by 2022. Lastly, in line with international transparency practices, we reported 12 out of the 40 Sustainability Accounting Standards Board indicators in our 2019 integrated annual report. Moving now to the results of the quarter. Here, we show that the bank ended the second quarter of 2020 with a BRL 4.2 billion recurring net income, which translated into an ROE of 13.5%. This 7.5% net income growth was led by a 23% reduction in the cost of credit and higher trading gains. However, these effects were partially offset by the negative impact of the prices on our fees and NII. We also have a higher effective income tax rate due to the full impact of the 5 percentage point’s increase in social contribution effective in this quarter. Finally, the loan portfolio grew by 2.9%, ending the period with a balance of BRL 811 billion, which we will discuss, detail in the next slide. Moving to the next slide. There are three things I'd like to highlight in this page. First, is that the loan portfolio was practically stable if we adjusted for the ForEx valuation in the period. Second is that there was a substantial change in mix between segments with large corporates growing segments with large corporates growing a strong 3.6% quarter-on-quarter and individuals contracting by 3.9%. Lastly, rebuilding the portfolio, there was a very important change in the mix of products. There was a substantial contraction in credit cards and secured personal loans and overdraft. This movement reflects not only a change in customers' behavior and a drop in consumption levels, but also and very importantly, our active risk management approach as we discourage the use of those products. The growth of 44% in personalized credit with new payment conditions partially compensated for this drop. Naturally, these changes had a negative impact on our financial margin in the short term as we will soon see on this next slide. What we do believe is it's a good trade-off; temporarily give up part of our margin in order to protect the principle. On Slide 10, we show that the change in the credit mix, as we explained in the previous slide, generated two effects: the migration of products with single retail portfolio posted a negative effect of BRL 600 million on our NII. Secondly, the higher participation of the wholesale segment led to a further reduction of BRL 700 million in the financial market. Finally, the lower Selic rate had a negative impact of BRL 300 million on the remuneration of our working capital. These effects were partially offset by the higher average credit volume and by the ForEx rate impact on the financial margin of our operations in Latin America and in aggregate drove the 80 basis points compression in our net interest margin. Now, we present the evolution of the expected loss provision model and cost of credit. Before entering the numbers specifically, I think it's important to explain the way we demonstrate the provision on the chart. The provisions for overdue operations strictly follow the rules defined by the regulator, where a minimum level of provisioning is required when the loan is available. This is the great [indiscernible]. The next dark blue layer is what we call aggravated risks. These are related to the amount we have provisioned for overdue or renegotiated credits above the meaning defined by the regulator. Finally, the light blue layer. We have the potential losses, which contains the provisions we have made for clients that are not delinquent nor renegotiated. As the table on the left shows, the increase is not related to active delinquencies, and it is basically related to our future losses expectations. Thus, as in the previous quarter, our model requires – required additional provisioning, albeit at a much lower levels than in the previous quarter. This resulted in the growth of the coverage of the NPL 90 days for the third consecutive quarter as it reached 181%, the highest historical level for the bank. Although the cost of credit bank. Although the cost of credit is still about to normal, it has already showed an important contraction of 23% this quarter. This is a reflection of all the actions we have taken since the onset of the prices and the improvement in the macroeconomic and financial conditions, which feed into our expected losses model. Now moving to Slide 12. We show that due to the due to the intensity of the credit negotiations and the proactive offering of more flexible payment terms, the non-performing loans went down considered. We believe, though, these numbers do not properly reflect the full extent of the price yet. Moving on to Slide 13. We consider the financial margins with the market show an important recovery in the quarter, now more in line with its historical levels. This performance was mainly due to higher gains in the trading desk and in our operation in Latin America. On Slide 14. We see 10.5% drop in service revenues in the quarter, basically reflecting the lower economic activity triggered by the COVID-19 crisis. Despite this effect, we observed that our revenues are stable in the semester when compared with the same period of the previous year. This is mainly due to the good performance of the Asset Management division as well as of the advisory and brokerage services. I'd like to point out to that our acquiring operation volumes are already at the same level as in the previous year, and our credit card operations is close behind. Finally, I'd like to highlight that our open platform for investments, which just started a couple of years ago, reached BRL 175 billion of assets under custody, which represents a 7.2% growth over just one quarter. On Slide 15, we show our non-interest expenses, which are another important element of our performance. When we compare this quarter with the same period of the previous year, we can observe a decrease of 4.4% in our consolidated expenses with a 6.8% decrease in Brazil. If we adjust for inflation, expenses in Brazil fell in real terms by an impressive 9% in the period. That can be seen in the chart at the bottom of the slide. One of the reasons we became more efficient is due to our consistent investment in technology. As you can see on the left side of the slide, this is an area we continue to put more resources on, and we'll continue to do so in the future. Now on Slide 16. We show how the usage of our digital channels has evolved over this crisis. Our digital customer base increased by 17.1% over the last year while we opened almost 1 million new bank accounts entirely through our app just this semester, which represented a 131% increase year-over-year. Notably, we saw a particular increase in the adoption of digital channels of clients aged 50 and above. Currently, 47% of clients in the segment are using our apps and the website. And despite the higher demand and volume of transactions in the digital channels, the availability of services remain at the highest levels in our history, while our apps continue to be highly praised by our customers. Finally, I'd like to share with you a success case in how technology can help clients, particularly in this crisis. In record time, we deployed new functionalities in our digital channels, which enabled a fast and seamless deployment of over BRL 5.2 billion in government-sponsored facility. Now on Slide 17, we show that our Tier 1 regulatory capital has already shown a slight recovery despite the still volatile scenario and ended the quarter with 12.1% capital ratio. And finally, on Slide 18. We decided to keep our guidance suspended due to the unprecedented nature of this crisis and due to the fact that the health crisis have not yet been quelled. And unfortunately, there is no prospect for that. And despite the still low visibility ahead of us, I believe it's important to give a sense of direction to you as to what we are currently expecting. Capital and liquidity should remain at appropriate level, considering our internal stress test scenarios. In the short term, we should continue to see the large corporate portfolio spending at a higher pace than retail. This trend of change in mix may reverse if there is an increase in demand for credit from individuals and more activity from capital markets. Due to the above and the potential – potentially lower CD rate, it is possible that we will see a further marginal reduction in the average rate of the financial margins with clients in the short term. Commission, fees and results from insurance should perform in line with the recovery trend of economic activity and the reopening of capital markets. We should see a further reduction in the cost of credit in the short term. Our provisions will remain anchored in the expected loss model that will react promptly to changes in the country's macroeconomic scenario and the financial conditions of our clients. We feel confident we will be able to deliver additional efficiency gains in the next quarters as a result of the continuous investment in technology, new ways of working, optimization of distribution channels and structural efficiency projects. So with this, I conclude this presentation, and we may now start the Q&A session.
[indiscernible]: So on Slide 4 now. We go into more details about the BRL 52 billion loan portfolio deposit profile with new repayment conditions, out of which 72% were individuals, 28% were micro and small micro and small companies. Firstly, it's important to highlight that 100% of those clients were performing, meaning no past dues by the dues by the end of February. 58% of this portfolio was portfolio was already collateralized from their inception. Additionally, 90% of the portfolio is currently rated as AA to C. Finally, we show that the number of grace period requests has decreased has decreased significantly over the past 45 days. You see on the bottom chart. So now on Slide 5, before we move into our earning – I'd like to address two additional subjects. Here, on Slide 5 described how did [indiscernible]. We have already allocated more than BRL 1 billion, and this resource was spread out in four different pillars of action to help fight the COVID-19 pandemic. Important to emphasize that this is a nationwide program. And as an example, I would like to highlight not only the donation of 105,000 oximeters, which were distributed to all the municipalities in Brazil, over 5,000, but also the donation of BRL 100 to produce two of the most advanced vaccines in partnership with [indiscernible]. Now on Slide 6. Now the future, we present the integration of ESG teams into the bank's business and operations. Itau Unibanco has a long ESG story that began more than two decades ago. At the top of this slide, we present a time line showing the main milestones of this evolution, such as our participation in the Sustainability Index portfolios and adherence portfolios and adherence and commitments to good sustainability practice.  Two weeks ago, portfolios and adherence we set a new milestone, when in partnership with Santander we launched a joint plan to promote sustainable development in the Amazon. This plan consists of 10 concrete measures divided into three priority fronts, which are shown here. These actions were personally presented to the Vice President of the country and to all the government representatives. And our next step will be to define a clear and tangible p goals and goals and objectives for this goal. Being one of the largest financial institutions in Brazil, we intend to actively contribute to the country's sustainable development and protect the Amazon region. Additionally, it is important to highlight two important initiatives. The first one is our goal to become 100% compliant with the Task Force on Climate-related Financial Disclosures by 2022. Lastly, in line with international transparency practices, we reported 12 out of the 40 Sustainability Accounting Standards Board indicators in our 2019 integrated annual report. Moving now to the results of the quarter. Here, we show that the bank ended the second quarter of 2020 with a BRL 4.2 billion recurring net income, which translated into an ROE of 13.5%. This 7.5% net income growth was led by a 23% reduction in the cost of credit and higher trading gains. However, these effects were partially offset by the negative impact of the prices on our fees and NII. We also have a higher effective income tax rate due to the full impact of the 5 percentage point’s increase in social contribution effective in this quarter. Finally, the loan portfolio grew by 2.9%, ending the period with a balance of BRL 811 billion, which we will discuss, detail in the next slide. Moving to the next slide. There are three things I'd like to highlight in this page. First, is that the loan portfolio was practically stable if we adjusted for the ForEx valuation in the period. Second is that there was a substantial change in mix between segments with large corporates growing segments with large corporates growing a strong 3.6% quarter-on-quarter and individuals contracting by 3.9%. Lastly, rebuilding the portfolio, there was a very important change in the mix of products. There was a substantial contraction in credit cards and secured personal loans and overdraft. This movement reflects not only a change in customers' behavior and a drop in consumption levels, but also and very importantly, our active risk management approach as we discourage the use of those products. The growth of 44% in personalized credit with new payment conditions partially compensated for this drop. Naturally, these changes had a negative impact on our financial margin in the short term as we will soon see on this next slide. What we do believe is it's a good trade-off; temporarily give up part of our margin in order to protect the principle. On Slide 10, we show that the change in the credit mix, as we explained in the previous slide, generated two effects: the migration of products with single retail portfolio posted a negative effect of BRL 600 million on our NII. Secondly, the higher participation of the wholesale segment led to a further reduction of BRL 700 million in the financial market. Finally, the lower Selic rate had a negative impact of BRL 300 million on the remuneration of our working capital. These effects were partially offset by the higher average credit volume and by the ForEx rate impact on the financial margin of our operations in Latin America and in aggregate drove the 80 basis points compression in our net interest margin. Now, we present the evolution of the expected loss provision model and cost of credit. Before entering the numbers specifically, I think it's important to explain the way we demonstrate the provision on the chart. The provisions for overdue operations strictly follow the rules defined by the regulator, where a minimum level of provisioning is required when the loan is available. This is the great [indiscernible]. The next dark blue layer is what we call aggravated risks. These are related to the amount we have provisioned for overdue or renegotiated credits above the meaning defined by the regulator. Finally, the light blue layer. We have the potential losses, which contains the provisions we have made for clients that are not delinquent nor renegotiated. As the table on the left shows, the increase is not related to active delinquencies, and it is basically related to our future losses expectations. Thus, as in the previous quarter, our model requires – required additional provisioning, albeit at a much lower levels than in the previous quarter. This resulted in the growth of the coverage of the NPL 90 days for the third consecutive quarter as it reached 181%, the highest historical level for the bank. Although the cost of credit bank. Although the cost of credit is still about to normal, it has already showed an important contraction of 23% this quarter. This is a reflection of all the actions we have taken since the onset of the prices and the improvement in the macroeconomic and financial conditions, which feed into our expected losses model. Now moving to Slide 12. We show that due to the due to the intensity of the credit negotiations and the proactive offering of more flexible payment terms, the non-performing loans went down considered. We believe, though, these numbers do not properly reflect the full extent of the price yet. Moving on to Slide 13. We consider the financial margins with the market show an important recovery in the quarter, now more in line with its historical levels. This performance was mainly due to higher gains in the trading desk and in our operation in Latin America. On Slide 14. We see 10.5% drop in service revenues in the quarter, basically reflecting the lower economic activity triggered by the COVID-19 crisis. Despite this effect, we observed that our revenues are stable in the semester when compared with the same period of the previous year. This is mainly due to the good performance of the Asset Management division as well as of the advisory and brokerage services. I'd like to point out to that our acquiring operation volumes are already at the same level as in the previous year, and our credit card operations is close behind. Finally, I'd like to highlight that our open platform for investments, which just started a couple of years ago, reached BRL 175 billion of assets under custody, which represents a 7.2% growth over just one quarter. On Slide 15, we show our non-interest expenses, which are another important element of our performance. When we compare this quarter with the same period of the previous year, we can observe a decrease of 4.4% in our consolidated expenses with a 6.8% decrease in Brazil. If we adjust for inflation, expenses in Brazil fell in real terms by an impressive 9% in the period. That can be seen in the chart at the bottom of the slide. One of the reasons we became more efficient is due to our consistent investment in technology. As you can see on the left side of the slide, this is an area we continue to put more resources on, and we'll continue to do so in the future. Now on Slide 16. We show how the usage of our digital channels has evolved over this crisis. Our digital customer base increased by 17.1% over the last year while we opened almost 1 million new bank accounts entirely through our app just this semester, which represented a 131% increase year-over-year. Notably, we saw a particular increase in the adoption of digital channels of clients aged 50 and above. Currently, 47% of clients in the segment are using our apps and the website. And despite the higher demand and volume of transactions in the digital channels, the availability of services remain at the highest levels in our history, while our apps continue to be highly praised by our customers. Finally, I'd like to share with you a success case in how technology can help clients, particularly in this crisis. In record time, we deployed new functionalities in our digital channels, which enabled a fast and seamless deployment of over BRL 5.2 billion in government-sponsored facility. Now on Slide 17, we show that our Tier 1 regulatory capital has already shown a slight recovery despite the still volatile scenario and ended the quarter with 12.1% capital ratio. And finally, on Slide 18. We decided to keep our guidance suspended due to the unprecedented nature of this crisis and due to the fact that the health crisis have not yet been quelled. And unfortunately, there is no prospect for that. And despite the still low visibility ahead of us, I believe it's important to give a sense of direction to you as to what we are currently expecting. Capital and liquidity should remain at appropriate level, considering our internal stress test scenarios. In the short term, we should continue to see the large corporate portfolio spending at a higher pace than retail. This trend of change in mix may reverse if there is an increase in demand for credit from individuals and more activity from capital markets. Due to the above and the potential – potentially lower CD rate, it is possible that we will see a further marginal reduction in the average rate of the financial margins with clients in the short term. Commission, fees and results from insurance should perform in line with the recovery trend of economic activity and the reopening of capital markets. We should see a further reduction in the cost of credit in the short term. Our provisions will remain anchored in the expected loss model that will react promptly to changes in the country's macroeconomic scenario and the financial conditions of our clients. We feel confident we will be able to deliver additional efficiency gains in the next quarters as a result of the continuous investment in technology, new ways of working, optimization of distribution channels and structural efficiency projects. So with this, I conclude this presentation, and we may now start the Q&A session.
[indiscernible]. : So on Slide 4 now. We go into more details about the BRL 52 billion loan portfolio deposit profile with new repayment conditions, out of which 72% were individuals, 28% were micro and small micro and small companies. Firstly, it's important to highlight that 100% of those clients were performing, meaning no past dues by the dues by the end of February. 58% of this portfolio was portfolio was already collateralized from their inception. Additionally, 90% of the portfolio is currently rated as AA to C. Finally, we show that the number of grace period requests has decreased has decreased significantly over the past 45 days. You see on the bottom chart. So now on Slide 5, before we move into our earning – I'd like to address two additional subjects. Here, on Slide 5 described how did [indiscernible]. We have already allocated more than BRL 1 billion, and this resource was spread out in four different pillars of action to help fight the COVID-19 pandemic. Important to emphasize that this is a nationwide program. And as an example, I would like to highlight not only the donation of 105,000 oximeters, which were distributed to all the municipalities in Brazil, over 5,000, but also the donation of BRL 100 to produce two of the most advanced vaccines in partnership with [indiscernible]. Now on Slide 6. Now the future, we present the integration of ESG teams into the bank's business and operations. Itau Unibanco has a long ESG story that began more than two decades ago. At the top of this slide, we present a time line showing the main milestones of this evolution, such as our participation in the Sustainability Index portfolios and adherence portfolios and adherence and commitments to good sustainability practice.  Two weeks ago, portfolios and adherence we set a new milestone, when in partnership with Santander we launched a joint plan to promote sustainable development in the Amazon. This plan consists of 10 concrete measures divided into three priority fronts, which are shown here. These actions were personally presented to the Vice President of the country and to all the government representatives. And our next step will be to define a clear and tangible p goals and goals and objectives for this goal. Being one of the largest financial institutions in Brazil, we intend to actively contribute to the country's sustainable development and protect the Amazon region. Additionally, it is important to highlight two important initiatives. The first one is our goal to become 100% compliant with the Task Force on Climate-related Financial Disclosures by 2022. Lastly, in line with international transparency practices, we reported 12 out of the 40 Sustainability Accounting Standards Board indicators in our 2019 integrated annual report. Moving now to the results of the quarter. Here, we show that the bank ended the second quarter of 2020 with a BRL 4.2 billion recurring net income, which translated into an ROE of 13.5%. This 7.5% net income growth was led by a 23% reduction in the cost of credit and higher trading gains. However, these effects were partially offset by the negative impact of the prices on our fees and NII. We also have a higher effective income tax rate due to the full impact of the 5 percentage point’s increase in social contribution effective in this quarter. Finally, the loan portfolio grew by 2.9%, ending the period with a balance of BRL 811 billion, which we will discuss, detail in the next slide. Moving to the next slide. There are three things I'd like to highlight in this page. First, is that the loan portfolio was practically stable if we adjusted for the ForEx valuation in the period. Second is that there was a substantial change in mix between segments with large corporates growing segments with large corporates growing a strong 3.6% quarter-on-quarter and individuals contracting by 3.9%. Lastly, rebuilding the portfolio, there was a very important change in the mix of products. There was a substantial contraction in credit cards and secured personal loans and overdraft. This movement reflects not only a change in customers' behavior and a drop in consumption levels, but also and very importantly, our active risk management approach as we discourage the use of those products. The growth of 44% in personalized credit with new payment conditions partially compensated for this drop. Naturally, these changes had a negative impact on our financial margin in the short term as we will soon see on this next slide. What we do believe is it's a good trade-off; temporarily give up part of our margin in order to protect the principle. On Slide 10, we show that the change in the credit mix, as we explained in the previous slide, generated two effects: the migration of products with single retail portfolio posted a negative effect of BRL 600 million on our NII. Secondly, the higher participation of the wholesale segment led to a further reduction of BRL 700 million in the financial market. Finally, the lower Selic rate had a negative impact of BRL 300 million on the remuneration of our working capital. These effects were partially offset by the higher average credit volume and by the ForEx rate impact on the financial margin of our operations in Latin America and in aggregate drove the 80 basis points compression in our net interest margin. Now, we present the evolution of the expected loss provision model and cost of credit. Before entering the numbers specifically, I think it's important to explain the way we demonstrate the provision on the chart. The provisions for overdue operations strictly follow the rules defined by the regulator, where a minimum level of provisioning is required when the loan is available. This is the great [indiscernible]. The next dark blue layer is what we call aggravated risks. These are related to the amount we have provisioned for overdue or renegotiated credits above the meaning defined by the regulator. Finally, the light blue layer. We have the potential losses, which contains the provisions we have made for clients that are not delinquent nor renegotiated. As the table on the left shows, the increase is not related to active delinquencies, and it is basically related to our future losses expectations. Thus, as in the previous quarter, our model requires – required additional provisioning, albeit at a much lower levels than in the previous quarter. This resulted in the growth of the coverage of the NPL 90 days for the third consecutive quarter as it reached 181%, the highest historical level for the bank. Although the cost of credit bank. Although the cost of credit is still about to normal, it has already showed an important contraction of 23% this quarter. This is a reflection of all the actions we have taken since the onset of the prices and the improvement in the macroeconomic and financial conditions, which feed into our expected losses model. Now moving to Slide 12. We show that due to the due to the intensity of the credit negotiations and the proactive offering of more flexible payment terms, the non-performing loans went down considered. We believe, though, these numbers do not properly reflect the full extent of the price yet. Moving on to Slide 13. We consider the financial margins with the market show an important recovery in the quarter, now more in line with its historical levels. This performance was mainly due to higher gains in the trading desk and in our operation in Latin America. On Slide 14. We see 10.5% drop in service revenues in the quarter, basically reflecting the lower economic activity triggered by the COVID-19 crisis. Despite this effect, we observed that our revenues are stable in the semester when compared with the same period of the previous year. This is mainly due to the good performance of the Asset Management division as well as of the advisory and brokerage services. I'd like to point out to that our acquiring operation volumes are already at the same level as in the previous year, and our credit card operations is close behind. Finally, I'd like to highlight that our open platform for investments, which just started a couple of years ago, reached BRL 175 billion of assets under custody, which represents a 7.2% growth over just one quarter. On Slide 15, we show our non-interest expenses, which are another important element of our performance. When we compare this quarter with the same period of the previous year, we can observe a decrease of 4.4% in our consolidated expenses with a 6.8% decrease in Brazil. If we adjust for inflation, expenses in Brazil fell in real terms by an impressive 9% in the period. That can be seen in the chart at the bottom of the slide. One of the reasons we became more efficient is due to our consistent investment in technology. As you can see on the left side of the slide, this is an area we continue to put more resources on, and we'll continue to do so in the future. Now on Slide 16. We show how the usage of our digital channels has evolved over this crisis. Our digital customer base increased by 17.1% over the last year while we opened almost 1 million new bank accounts entirely through our app just this semester, which represented a 131% increase year-over-year. Notably, we saw a particular increase in the adoption of digital channels of clients aged 50 and above. Currently, 47% of clients in the segment are using our apps and the website. And despite the higher demand and volume of transactions in the digital channels, the availability of services remain at the highest levels in our history, while our apps continue to be highly praised by our customers. Finally, I'd like to share with you a success case in how technology can help clients, particularly in this crisis. In record time, we deployed new functionalities in our digital channels, which enabled a fast and seamless deployment of over BRL 5.2 billion in government-sponsored facility. Now on Slide 17, we show that our Tier 1 regulatory capital has already shown a slight recovery despite the still volatile scenario and ended the quarter with 12.1% capital ratio. And finally, on Slide 18. We decided to keep our guidance suspended due to the unprecedented nature of this crisis and due to the fact that the health crisis have not yet been quelled. And unfortunately, there is no prospect for that. And despite the still low visibility ahead of us, I believe it's important to give a sense of direction to you as to what we are currently expecting. Capital and liquidity should remain at appropriate level, considering our internal stress test scenarios. In the short term, we should continue to see the large corporate portfolio spending at a higher pace than retail. This trend of change in mix may reverse if there is an increase in demand for credit from individuals and more activity from capital markets. Due to the above and the potential – potentially lower CD rate, it is possible that we will see a further marginal reduction in the average rate of the financial margins with clients in the short term. Commission, fees and results from insurance should perform in line with the recovery trend of economic activity and the reopening of capital markets. We should see a further reduction in the cost of credit in the short term. Our provisions will remain anchored in the expected loss model that will react promptly to changes in the country's macroeconomic scenario and the financial conditions of our clients. We feel confident we will be able to deliver additional efficiency gains in the next quarters as a result of the continuous investment in technology, new ways of working, optimization of distribution channels and structural efficiency projects. So with this, I conclude this presentation, and we may now start the Q&A session.
Operator: [Operator Instructions] Our first question comes from Jorg Friedman of Citibank. Please go ahead.
Jorg Friedman: Thank you very much for the opportunity to ask questions. I have two questions. Starting on provisions. You coverage of renegotiated loans despite increase in coverage versus total NPLs and also reduced cost of credit quarter-over-quarter. So clearly, you expect the loss model is making you a bit more optimistic ahead. I do understand scenario is still very fluid. I'd like to hear what you have seen from loans that already left your revised program this year. How are they performing versus the normal renegotiated portfolio? And how relevant you believe this sample might be to predict future behavior of operations under risk analysis? And my second question relates to...
Candido Bracher: Jorg, I'm sorry. I have a problem understanding you. I really can't understand what you're saying. I didn't understand your first question. There's a problem in the reception here.
Jorg Friedman: Can you hear me better now? Or should I try to put not much [indiscernible] another time? Can you hear me now?
Candido Bracher: If you could dial in again or if you speak very slowly and clear because I really can't understand.
Jorg Friedman: Okay. So I'll try to speak very slowly. My question is, for the loans that already left your release program this year, how are they performing versus the normal renegotiated portfolio? And how relevant you believe this sample might be to predict the future behavior of operations under grace periods nowadays? Okay. This is my first question. Could you understand it?
Candido Bracher: Yes, I could. Well, without going too much into the details, Jorg, I can say that we had a first wave of renegotiations when we offered a 60-day grace period for basically everybody at the onset of the crisis. And we were – so many of these has matured now. Some of them went into the [indiscernible] via offers. That means prolonging the grace period. But many have paid. So the level of payments in this first prolongation of 60 days have surprised us. I mean it has been above what we would have expected given the fact that crisis only worsened in the first 60 days. So when we follow up this renegotiated portfolio, the sensation is good. I mean what we are seeing in terms of liquidation, in terms of financial health of the company is rather positive.
Jorg Friedman: Perfect. And my second question relates to fees. You soft-guided that this should improve quarter over quarter ahead. And I'd like to understand if you are incorporating this scenario, the implementation of fix, the instant payment platform of the Central Bank, already this year and if that could jeopardize growth of some line items such as checking accounts, debit cards and collections. Thank you.
Candido Bracher: Okay. Thank you, Jorg. Yes, we expect – well, we expect peaks to be implemented during the second – during the second semester, but it will start slowly. I mean it will certainly have an effect on some of our income, and other transfer income that we have in the bank, but we rather still – I mean, it will be a very powerful tool in accelerating financial activity in Brazil. That's positive for our – I don't know, Milton, if you want to complement anything relating to this.
Milton Maluhy Filho: So I agree with you, Candido. We believe this is still a project. We're going to work towards making it to be important in the financial system. We are not forecasting the impact of this, for this year yet. Of course, there is a ramp-up of the project, and we don't believe that this will bring major impact this year. But yes, you are right, in the midterm, we should see some impacts arriving from this, but more competition. It's more in terms of a better experience for our clients. And we're going to work very close to Central Bank to make it happen. So this is our strategy over here. And in terms of fees, we believe that some of the reasons why we expect a better performance increase in the second semester somehow has to do with the investment banking activity, wealth management activity, those lines that we are doing in very good – we are having a very good performance. And also in credit cards volumes, we see not only debit as credit cards, important recovery for the next semesters, as we already saw in the previous months. So we looked at the activity coming to more – be more relevant in the second semester. This will have a direct impact in our fee lines.
Jorg Friedman: That’s perfect. Thank you very much. Very clear.
Milton Maluhy Filho: You are welcome. Thank you, Jorg.
Operator: Our next question is from Henrique Navarro of Santander. Please go ahead.
Henrique Navarro: Hi. Good morning, everyone. My first question is on provisions. I do believe – I do understand, based on your presentation, that we shall see provisions going down on the second semester compared to the first semester. But my question is – maybe can we see on the third quarter the cost of risk going back to normalized levels? Let's say if the current improvement in the macroeconomic scenario continues, so maybe can we see cost of risk coming back to normalize at levels already in the third quarter? That's my first question. The second question is I would like to hear your strategic view on two companies on Itau CorpBanca and on IRB. In the case of Itau CorpBanca, specifically, if you consider some delisting or anything like that? Thank you.
Candido Bracher: Thank you. Thanks for your question. Regarding provisions, so we have adopted a prudent stance in this crisis, as I explained. Since we think that the most fragile quarter is [indiscernible]. We have seen this in the beginning. So, I tend to think it will be too soon in the third quarter to see the cost of credit going back to normalized. I think I mean we should, maybe paradoxically, see this happening as delinquencies increase in the next year. So, so far, I mean I think we will keep on seeing this movement of provisioning and the complementary provisions and provisions designed – made based on the expected loss model. I think they will reduce, but not yet to what we may call normalized levels. Then the two companies you asked, Itau CorpBanca and Iti. In Itau CorpBanca, we see a normal development. I mean, we see no – active there whatsoever. I mean its normal course of business. Management is performing well. The crisis is being contained adequately, in our view. I think the Chilean economy will recover normally. And so it's business as usual for Itau CorpBanca. In IRB, as you know, we are in the process of a closed capital raising, and we have confirmed that we will subscribe our 11.5% share of the participation. And we are inclined to study raising this, should there be room for this, which we will know by August 30. So that's it. Thank you.
Henrique Navarro: Very good. Yes, thank you.
Operator: Our next question comes from Jorge Kuri of Morgan Stanley. Please go ahead.
Jorge Kuri: Hi. Good day everyone. I have two questions, if I may. The first comment is on your credit card business. Card issuance PT was down 22% sequentially and card acquiring 16%. Evidently, the lockdown during the second quarter had a negative impact. I wanted to understand how July and the few days of August are trending. How rapidly is that coming back? Where are you sort of vis-a-vis a pre-COVID level? Are you at 80%, 90%? Or you still below that? Any color that you can provide will be useful. And then my second question is on competition. How is competition shaping up in the banking system? The market was very varied 2017, 2018, 2019 on competition, mainly from a lot of the new fintech-driven providers on all different verticals of your business. How is that going along? I mean, how does those companies doing? Are you seeing more aggressive, less aggressive, less funding, more funding a client has continued to pick up? Do you see them impair because their balance sheets are not as strong as yours? Any particular view that you have on how that fintech space is evolving during this pandemic would be helpful in order to understand what are the competitive pressures that the business is facing and will face once this is done? Thank you.
Candido Bracher: Thank you for your questions, Jorge. On [indiscernible] more or less the same standard we've shown in the first slide of the economic activity. I mean – so it fell very drastically right after those core expenditures, right? So it fell over 40%. And right now, it's between 10% and 15% below what are the historical levels of expenditures in credit card level. Of course, this varies a lot sector to sector. You have some sectors where it's still way below what it used to be, sectors more tied to tourists and restaurants and things like this. And in other sectors, it never really fell like supermarkets and things like this. So – but in average, we are between 10% and 5% below. It's just a guess. But I don't expect this to come to 100 very soon. So I think since the risk of contagion is still there, we don't see some of these activities recovering immediately and not in the foreseeable – in this period to the end of the year. Now competition. How does competition perform? We continue to see a very strong competition in specific areas of the bank where the competition is strong. I think the competition is strongest in the acquiring business and in the investment business. In the acquiring business, the companies – the – really managed to have good quality in our services, and they are having bigger penetration, whereas the incumbents, I mean, separate from a heavier cost structure and more – less competitive systems. And here, we have a lot of work to do. I mean we've been doing. And we have just hired – for our acquiring business hedging, as it comes from – and I mean it's a sector where we have a lot of deals. We have already stabilized the loss in market share, but we have a lot to do in order to regain profitability in this segment. But I mean the – as it always happens in competition, I mean, you learn from your competitors, and we are doing that. I'm optimistic about the prospects. The other sector I would point out is investments in general. I mean, so we had an exciting quarter this last quarter with a lot of marketing activity. And this is a sector where we have not only been able to defend our market share in the market; I think we are the only incumbent do so. But as – I mean, results have been met and improved. But competition tends to increase. It is the inception of peaks. I think, in the payments, you have even more competition in more traditional areas like credit and wholesale banking, that there is less visible competition from newcomers. And we see – and of course, I mean, we have to stay on that. But we see that we ourselves are improving a lot of the improvements we have made in our asset management platform. Recently, I mean, I'm impressed – I mean, we are gaining market share there, gaining ability, as we show in one of our slides, I mean, our platform, our open platform in asset management is growing. So I mean, it's a very varied portfolio with different competitors in each part of the portfolio. I said the strongest is the acquiring business and in the investment business. But in all of the business, we see competition. And this is why, I mean, we are also making investments and changes and trying to improve our services across the board.
Jorge Kuri: Thanks. Candido, and if I may just add, specifically on the lending business of the fintech lenders and some of the fintech banks, how are those trending? Do they have the balance sheet strength to withstand increasing NPLs that we see? Do they have the funding necessary to support businesses? What -- how is that specific area composition holding along?
Candido Bracher: Jorge, excuse me. As we have a problem with my phone here because I'm having difficulty understanding. Milton didn't understand it either. So maybe if you could talk a bit slower and louder.
Jorge Kuri: Sure. My question was a follow-up on competition. If you could be specific on the fintech, as you’ve see how competition is evolving with the asset management, the broker and the payment? I want to get more specifics on the lending business, on the fintech lenders, on the fintech bank. How are those moving along? Do they have capital to manage the crisis? Are their NPLs performing worse, better than you would expect? One of the new lenders, not a lot of experience. How specifically are fintech lenders are doing in this environment?
Candido Bracher: We don’t see them Jorge. We don’t see them yet. I mean, maybe – I mean, as a lender, I could point out some credit card banks, which also have a lending activity. Those are lending activities, not the core, and they are growing. But in terms of general loans and so on, I mean, they are still very, very small in this market. I don't see no one, I mean, having an outstanding performance there.
Jorge Kuri: All right. Thanks, Candido. Thanks for your answers.
Candido Bracher: Thank you, Jorge.
Operator: Our next question comes from Carlos Gomez of HSBC. Please go ahead.
Carlos Gomez: Thank you. Good morning. I have two questions for me. The first one refers to how you see your position in XP going in the future? The second, if you can explain – we believe that you wrote off much of the goodwill of CorpBanca this quarter, but it did not affect your financial statements. Can you tell us exactly what you did and whether you would consider an increase in participation in the bank in the future? Thank you.
Candido Bracher: Thank you, Carlos. So confirming all our participation in XP, I mean this is a participation we invested in a little over three years ago because, I mean, we saw a company acting in a market which we have difficulty replicating – which model we have difficulty in replicating, I mean with very good leadership and spirits – competitive spirit and so on. All these qualities are still there, and we are very happy with the investments we have made. So I mean it's just we follow disclosure. As you know, the Central Bank has barred us from acquiring control or for having a more active role in the company. So I mean, we follow this as an investment. But being an investment, I think it's an important one because it gives us position in a market, which in a part of the market, which is growing and which is not very easy to replicate from our own side. We can compete in this investment segment. We do completely have been keeping our market shares there, but not exactly the same model that XP is doing. So I mean we are happy with the investment in XP. And we do not intend to change this. In terms of CorpBanca and the accounting we have made there. I mean, I think your question is why did this have a small impact on our loan figures in Brazil. And the reason is there is a difference between the Chilean legislation and the Brazilian legislation in how you treat the over price that you how you treat the over price that you how you treat the over price that you pay. Here in Brazil, you can absorb it quarter by quarter and can deduct it, not in Chile. So we have already made almost fully deducted the over price we paid for CorpBanca. This is why it has had an impact of only BRL 19 million. But I will pass to the – only BRL 19 million in our balance sheet. But I will pass to the experts who can go into more detail. 
Milton Maluhy Filho: Carlos, this is Milton. So let's just look through Itau CorpBanca. We had an impairment of almost an impairment of almost $1 million in Chile. When we look to Brazil, you have to take in consideration two main effects. The first one is that we've been amortizing the goodwill since 2016. We will deduct for 10 years. So at the moment, we made an impairment in Chile. We had advertised an important portion of the goodwill we have accounted in Brazilian GAAP, okay? This is local regulation.  And second, you have to take in consideration that we have only 38% of the bank. So you have to address the amount of impairments to our participation in Itau CorpBanca. And the further fact is that we can only generate a credit should a tax credit here in Brazil to be this impairment if there is no impairment in Chile. So as we reported a loss in the balance sheet, when we bring this profitability, in this case, the loss to Brazil, this impacts our credit, tax credit generation. So tax is credit. Plus, the amount of the investment that we have already amortized, plus the 38% of the investment we have, it comes up to BRL 19 million. This was impacting the quarter. So it was irrelevant for Brazil.
Carlos Gomez: Okay. So again, essentially, your tax loss crystallized at the moment, there is a loss in Chile and you can impair it in Brazil? So the effective tax rate on impairment, as we saw, is high. It's almost 50%, right? 
Milton Maluhy Filho: Yes. We have around BRL 700 million in tax credit in Brazil due to this impairment. This is the amount we have.
Carlos Gomez: Thank you, very much.
Milton Maluhy Filho: You are welcome. Thank you.
Operator: Our next question comes from Geoffrey Elliott of Autonomous Research. Please go ahead.
Geoffrey Elliott: Hi, thanks very much for taking the question. On the re-profiled loans, you gave an indication that the payments that have started up again have been better than you expected. Can you give us some numbers around that, how – what proportion of clients who stopped paying are now paying again? And are those clients who've now resumed payments, are they included within the re-profiled loan numbers that you're providing? Thank you. 
Candido Bracher: Thanks for the question Geoffrey. We are not disclosing numbers on that. But what these clients made – I mean, they paid in full. And I mean, they are not in any of the other programs now. And this has been a higher proportion than we had anticipated. Another part of the clients went into what we call the targets here I mean into the extended lines we have offered. And these clients, I mean, we follow their vital signs, and we are also positively impressed by what we are seeing. The result from this, what you see is in our provisioning based on expected losses. So the reason why our provisioning dropped this quarter compared to last quarter is because of the improvement we are seeing in these clients and in the perspectives of the portfolio.
Geoffrey Elliott: Got it. And the BRL 38 billion of loans to individuals that were re-profiled and the BRL 15 billion of loans to small business, does that include those clients who were re-profiled that have that have that have now started paying again?
Candido Bracher: Yes, it does.
Geoffrey Elliott: Thank you.
Operator: Our next question comes from Jason Mollin of Scotiabank. Please go ahead.
Jason Mollin : Hi. My question is also related to asset quality, kind of a follow-up. Itau Unibanco reported a decrease on the NPL ratio in the second quarter sequentially. And as you even commented in your press release, this is the lowest level since the Itau Unibanco merger. You also just said, and I think it's written in the release as well, that the NPL ratios don't really fully reflect the current crisis, and the driver is what you were just describing, the re-profiled loans. Can you help us understand the risk levels you see in the portfolio? You do show the D through H loans stable quarter-on-quarter, second quarter versus first quarter. And you just mentioned again the 23% decline in loan provisions quarter-on-quarter. So is this a signal that the risk is declining? I think that's what you were just mentioning. Or is this just reflecting the very high level of provisions in the first quarter? Thanks.
Candido Bracher: Jason, no, I think this is a – this is both. I mean, I think we were prudent on the first quarter. And so we made an amount of provisions of a situation that we were seeing. And by then, we expect it could have had a worse evolution than the one we are actually witnessing. And also, I mean, we see an improvement in the situation going forward. When we look at this, this delinquency levels, I mean, it's a bit paradoxical, but I think that – I mean, the credit quality, the provisions will come down as delinquencies go up next year. And because this is when we are going to see, I mean – actually, I mean how bad these companies and these individuals have been affected by the crisis. Of course, it's still pending. I mean, how well will Brazil emerge from the crisis? I mean, so far this year, I mean, so far this year, I mean, we are seeing performance which is better than we have anticipated. But as we mentioned on the second chart or in the first chart here, this was due to 5% of GDP investment by government from the onset of the crisis up to now. This is not sustainable. I mean we will not have the same level of government intervention going forward, maybe still for some months, but we can't have it forever. So now we are provisioning in our expected loss model, we, of course, assume that there will be a reduction in government support for these companies and for these individuals going forward.
Jason Mollin : Very helpful thank you. 
Candido Bracher: Thank you.
Operator: Our next question comes from Daer Labarta of Goldman Sachs. Please go ahead.
Daer Labarta: Hi Candido and everyone thank you for the call. A couple of questions also. First, on your margins. If you look, margins kind of fell a bit. We probably make lower interest rates, but we did see margins increase as your peers. You also did benefit from higher trading gains. So just to understand, do you think the margins have bottomed now? Do you think the mix shift continues to impact margins? Have you fully realized the impact of lower interest rates? Just to understand why, at least on a relative basis, your margin suffered a bit more. Are you being more aggressive in your pricing of loans? If you can maybe give some more color in terms of margins and how that should evolve from here. Then my second question is on your capital. Also, comparing to your peers, they seem to recover a bit more. Your capital, your core Tier 1 ratio did go up 10 basis points, but you're below the 11%, 12% that historically where you've been and what your peers kind of seems to have recovered to. Is that because of your offshore investments? Do you think you can get back to that 11%, 12% level? How comfortable are you with the capital at these current levels? Thank you.
Candido Bracher: You can get back to Tito, so on our margins, I think it's close to bottom, but they – I do not say it fell, they have bottomed. I think we may still see some of the transfer from credits for individuals and small and medium companies to large companies going forward. And they reflect, I mean, the clear decision that we have taken to protect the very good portfolio. I mean so to use the most adequate and cheapest possible lines to our clients in order to traverse the crisis. So our bet here is that not only this will improve the quality of the credit portfolio, but this will generate a very positive response in terms of reciprocity from the clients as the economy develops afterwards. So I see we develops afterwards. So I see we may still see some compression in the margin in the next quarter, but at a lower base. And then I think it's going to recover swiftly. As to capital, how comfortable are we [indiscernible] I mean, as you know, our risk appetite says that we must have a 13.5% capital loan ratio. And this is made so that we have enough capital to support shocks. And what happened is that the shocks we have supported it and – so in this circumstance, we are comfortable with the present net working capital we have. We think it's adequate in the present situation. Having said that, of course, I mean, we are in the way of – as the economy recovers as our balance sheet recovers, of taking it back to the recommended level by the Board, which is that we think we are not in a haste to do it, but we are looking very seriously at it and looking at every measure we can in order to speed up this recovery.
Daer Labarta: Thank you Candido, that’s helpful. If I can just follow-up, on the margins, just do you feel that you are maybe being a bit more aggressive than your peers in terms of sort of offering better credit lines for the companies? And then as you mentioned, maybe that will play out better in the future where you have better asset quality. Just trying to understand the dynamics because it was a little bit different between yourself and your peers. And also, just following up on the capital as well, is your capital lower now compared to your peers? Is it because of the offshore international investments? Or was there anything else driving that?
Candido Bracher: Okay. The first question, as you know, I mean, we try not to speak about our peers, but I will just give you an example, which is – offered by the government. [Indiscernible] if I'm not wrong, it has six months grace and then thirteen months of payment. And it costs overnight maintenance plus 125. It's a very cheap line. Very, very good for clients. It's for companies which have sales of up to $800,000 a year, so [indiscernible].  We are the only privately owned bank which has already disbursed the line. And we did it more than two weeks ago. And then right after it was approved, and within two days totally digital. So I think this somehow reflects the stance we have adopted, which appears to be somewhat different from our competitors there. I mean, looking more at offering the best possible alternatives to clients so as to help them deal with the situation.  In terms of our capital, yes, I see that the main difference is probably our investments abroad, which make us more subject to the effects in the exchange rate. I think this is what caused a higher effect in our capital when compared to us. So now we have already reduced this, as you know, but we still feel the ForEx effect a bit in the overhead strategy and a bit in the RWA.
Daer Labarta: Okay that’s very clear. Thank you, Candido.
Candido Bracher: Thank you Daer.
Operator: Our next question will come from Pieta Alessandri [ph] of Credicorp Capital. Please go ahead.
Unidentified Analyst : Hi, thank you very much. I wanted to ask regarding Itau CorpBanca. We know that Itau CorpBanca and the capitalization strategy. We know that – wants to bring forward the that – wants to bring forward the sale option of Itau CorpBanca Colombia for about $350 million. How do you plan to finance those strategy? And do you expect to bring forward the sale? And if you could give us further details regarding the capitalization strategy.
Candido Bracher: Thanks for your question. I will ask Milton. He's more familiar with the reason to answer it.
Milton Maluhy Filho: Hi, yes, we have actually a forward executed for core group for January of 2022 for $330 million plus interest. We are not planning to anticipate this acquisition is still paying the local regulation approval – regulator approval, not only in Chile, but also in Colombia. But as we still expect that this acquisition will be made in January of 2020. So we don't believe we're going to be anticipating that. In the other hand, of course, when we do our capital planning, looking for five years ahead, we consider this acquisition because it has, in fact, an this acquisition because it has, in an impact on capital. So all the capital planning that we discussed for the bank, we consider the acquisition, even though it's only going to be executed in 2022.
Unidentified Analyst : Perfect thank you very much. And another question is regarding Itau's grace period. We know that you have 120 and 180 days of grace periods for the renegotiated loans. When do you expect to have most of the renegotiated loans to be free? When do you start paying again?
Candido Bracher: Well, they have already started, as I just said. Because at the outset of the prices, we offered a general 60 days grace period. And many clients took the 60 days grace period. It was only later that we offered the 180 and 120 days grace periods. And we also offered for those clients which have already taken the 60 days, but many of them decided not to take the new grace period and paid back in a proportion much higher than what we had anticipated. And we follow the vital signs of the clients. So we are helping with what we are seeing there.  But to answer your question, I mean, we have started this practice late April. So it was April, May, June, good four months on that. So it will be started at the end of August, September, October when they start paying back. 
Unidentified Analyst : Thank you very much.
Candido Bracher: Thank you.
Operator: Our next question comes from Nicolas Riva of Bank of America. Please go ahead. 
Nicolas Riva: Yes thanks very much for taking my question. I have only one question. And it’s kind of a follow-up on prior questions about the restructuring, the renegotiations of loans. And I saw that you seem to be including separately – to be separating the loans which have been re-profiled because of COVID-19, this BRL 52 billion in consumer loans and SME loans. From the renegotiated loans from the stock of BRL 35 billion, is there a reason for that why you are not including them together? Is there a – do you look at them differently? Or is there a difference in risk profile between these re-profiled loans, the BRL 52 billion and the stock of renegotiated loans? Thank you.
Candido Bracher: Yes, Nicolas, you are right. So the stock of BRL 52 billion – the stock of renegotiated loans, those loans which have already been renegotiated until February of this year were of companies which were having a poor performance in a normal environment, so which problems cannot be exclusively attributed to the COVID-19 crisis. So there, we have more elements of – to be worried about these credits and to have closer look at them. Then after the COVID-19, we are treating them differently because we see that most of the companies, the problems are exclusively arising from the situation of certain stop in the economy. And so these companies, which is the BRL 52 billion, we put in a different bracket and report differently.  Also, these companies we separate in four different levels, companies and individuals, according to some standard data about them. And we follow these four different levels separately the delinquency levels, not the delinquency levels, but I mean the levels of activity in each of them, how their sales behave and so and so. We have a very precise follow-up on the financial health of these companies divided in these four groups and separated, as you correctly pointed out, from those which have already been renegotiated when the crisis struck.
Nicolas Riva: Okay, thank you very much Candido. So then just a quick follow-up, then it would be fair to assume based on what you're saying that there should be a higher recovery value and a lower need for loan loss provisions in the re-profiled loans in these BRL 63 billion compared to the stock of renegotiated loans? 
Candido Bracher: Yes, I think, I mean that the performance of this BRL 63 billion should be way better than in the stock. 
Nicolas Riva: Okay, thanks very much Candido.
Candido Bracher: Thank you, Nicolas.
Operator: This concludes today’s question-and-answer session. Candido Bracher, at this time you may proceed with your closing statement. 
Candido Bracher: So I just wanted to thank you all for listening, for the interest, for the questions and to reaffirm, I mean, which was our strategy in dealing with this unprecedented crisis, which was one of support to our clients because, I mean, we thought it was the right thing to do and because we are looking at the quality of the credit portfolio as the main part of attention going forward.
Operator: That does conclude Itau Unibanco Holding’s earnings conference for today. Thank you very much for your participation and you may now disconnect.